Operator: Good day, and welcome to the First Merchants Corporation Second Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. . After today’s presentation, there will be an opportunity to ask questions. . Please note this event is being recorded. Before we begin, management would like to remind you that today's call contains forward-looking statements with respect to the future performance and financial condition of First Merchants Corporation that involve risks and uncertainties. Further information is contained within the press release, which we encourage you to review.
Mark Hardwick: Good afternoon, and welcome to the First Merchants second quarter 2021 conference call. We released our earnings today at approximately 8.00 AM Eastern Time. Hopefully, you have all found your way to our slide presentation. But if not, you can access the slides by following the link on the second page of the earnings release. Betsy, thanks for the introduction and for covering the forward-looking statement on Page 2. On Page 3, you will see today's presenters and bios to include President, Mike Stewart; Chief Credit Officer, John Martin; and Chief Financial Officer, Michele Kawiecki. Page 4 is a nice one page snapshot of First Merchants geographic footprint and a few relevant financial highlights for your review. We feel our year-to-date return on assets of 1.45% and return on tangible common equity of 16.82% reflect the strength of First Merchants overall balance sheet and earnings model.  Now if you would turn to Slide 5. As my quote in the press release states, we are pleased with our record setting second quarter net income totaling $55.6 million and earnings per share of $1.03 per share. In addition to earning $105 million and $1.94 in earnings per share during the first six months of the year, we've consolidated 17 banking centers and fully integrated our Hoosier Trust Company acquisition.  Mike Stewart will now provide some color on our strong balance sheet growth to include our second quarter loan growth of 6.7%.
Mike Stewart: Thank you, Mark, and good afternoon. As you look at the next two slides, I want to provide an update on our line of business results and their contributions within the quarter. Michele and John's comments on slides will provide you greater detail. And since nothing has changed with our strategy in key lines of business, which is Page 6, I want to focus on Page 7, the line of business balance sheet highlights.  On the top of the page offers a breakdown of the core loan growth by our business units. All these percentages exclude the balances of the PPP loans. The private wealth and consumer groups grew at 4% and 5%, respectively. As talked about last quarter, our private wealth team is now fully integrated into each of our markets and their connectivity with the commercial team continues to drive our growth in PWA relationships and the loan activity. 
Michele Kawiecki: Thanks, Mike. My comments will begin on Slide 8. We had meaningful balance sheet growth during the quarter, which you can see on lines one through four, as total assets increased 294 million or 8%.  The deposit growth of 252 million coupled with PPP loan forgiveness created liquidity of over 600 million, of which 290 million was used to fund the loan growth and the remaining liquidity was invested in the bond portfolio.  We are pleased to report net income on line 17 increased 6 million or 12% over first quarter, which is a 49% increase when annualized, leading us to earnings per share of $1.03 shown on line 22. This result led to an outstanding efficiency ratio for the quarter of 48.91%.  On line 23, you will see the tangible book value per share increased by $1.17 from first quarter due primarily to the exceptional core earnings contribution this quarter, and also an increase in unrealized gains in the investment portfolio.  Moving up to line 19, return on average equity increased 1.29% to 12.04%. Pre-tax, pre-provision return on average equity was a strong 14.27% reflecting pre-tax, pre-provision earnings of 65.9 million, an increase of 7.4 million over prior quarter.  Slide 9 shows our year-to-date results. Line 22 shows year-to-date earnings per share of $1.94, a $0.70 increase over the same period in the prior year. The efficiency ratio for the first half of 2021 is an outstanding 49.54%.  Slide 10 shows the highlights of our investment portfolio. The top right graph shows the trend in the portfolio yield. The yield on the portfolio declined 11 basis points during the quarter due to the rate environment.  However, the portfolio contributed 24 million of interest income on a fully tax equivalent basis this quarter, an increase of 1.6 million over prior quarter and the overall portfolio yield continues to outpace that of peers. We continue to invest excess liquidity in the investment portfolio and have enjoyed meaningful incremental earnings that have come with that decision.  In the middle right of Slide 10, the net unrealized gain is noted which is at 131.7 million at the end of Q2. This is up 46.4 million in Q1 contributing capital through accumulated other comprehensive income as a component of equity. Net unrealized gains as of today is even higher at 160 million. 
John Martin: Thanks, Michele. My comments start with Slide 18. I will review the loan portfolio including industry concentrations, the PPP loan program, provide an asset quality update, including the remaining COVID deferrals, and then close with an asset quality roll forward, including a few high level comments before turning the call back over to Mark. So turning to Slide 18. For the quarter, the portfolio experienced strong loan growth as Mike Stewart mentioned in his earlier remarks. Total loans grew $143 million when factoring in the $352 million in expected PPP loan forgiveness in the quarter.  When excluding the changes in the PPP loans and the mortgage portfolio loan sale that Michele just mentioned, the organic loan growth was 10% annualized led by the investment real estate portfolio that I have labeled CRE non-owner occupied on line five, the public finance portfolio on line seven and the sponsor finance portfolio on line two.  We also had an additional $20 million in PPP loan originations in the quarter and ended it with $416 million in balances to 3,239 borrowers with $13.6 million in remaining unearned fees. Mortgage loan production remains strong in the quarter. 
Mark Hardwick: Thank you, John. Slides 21 and 22 will highlight our track record of performance. On Slide 23 is a document that highlights our priorities for the next several years of our journey. We are making strides across these goals. And I will formally share more detailed progress at year end. But I couldn't be more pleased with our energy level around making First Merchants the bank of choice throughout our markets.  We chose a balanced approach to meeting the needs of our customers while protecting the health of our teammates over the last 15 months. And just as a reminder, we were in the office in the first quarter of 2020. We were working remotely, drive-thru only or by appointment in the second quarter of last year.  But then back in the office in the third quarter, all the way until the Thanksgiving break where we had to go back to a remote environment, drive-thru only or appointment. And then we were back in the office again fairly early in February. And so I only bring that up to say, I feel like we really have momentum. And we feel like we've delivered a really strong quarter. And we're excited for what's next, and we're having fun.  So I guess with that, Betsy, I'd love to open it up for questions at this time.
Operator: We will now begin the question-and-answer session. . The first question comes from Scott Siefers with Piper Sandler. Please go ahead.
Scott Siefers: Good afternoon, guys. Thanks for taking the question. Let's see, I think you had talked about utilization being up about 1 percentage point sequentially. Where is that number now? And what do you guys consider a typical utilization rate?
Mark Hardwick: Hang on, Scott. I think John’s triangulating that.
John Martin: Yes. Hi, Scott. It’s John. So we've got -- it kind of hit, call it a 37%, 38% at its low. It's been bobbing around 38%, 39% with -- last quarter, it ended like 37%. It's at like 38% now. It got to a high pre-pandemic of like 47.5%. And the pandemic really led to significant declines from peak to trough. We've added through that same time period commitments from, call it, $2.4 billion, up another $300 million, $400 million. So we've got two things happening there. Utilization rates fell, but it's also the result of just increased lines. But this quarter, we added an additional, call it, I don't know, it looks like about $100 million of availability. And yet, we still got an extra 1% of outstanding utilization out of it. So good movement in the C&I loans.
Scott Siefers: Okay. Perfect. Thank you. And then you mentioned in your prepared remarks that a lot of the loan growth you're seeing is coming from commercial real estate. And are these projects that were delayed during the pandemic or is this new growth, just trying to get a feel for some of the underlying trends there?
Mike Stewart: Well, a couple of things. It’s Mike Stewart here. On Page 7, I would attribute a lot of the commercial growth and outstanding coming from the C&I portfolio and some of the public finance that we're doing. The real estate also grew as well, but the biggest growth came from those two. The construction portfolio, it’s seasonal. So we've been active in the commercial real estate segment, predominantly multifamily. Think about student housing still been inactive along with industrial warehouse. I see here in the second quarter construction, weather looks good. So it starts to fund those up.
Scott Siefers: Perfect. Okay. Thank you. Then final one maybe just sort of ticky-tacky question. I think you guys said about $13.6 million  correctly?
Michele Kawiecki: That’s correct.
Scott Siefers: Okay. Perfect. All right, that's it for me. Thank you guys very much.
Mark Hardwick: Thank you, Scott.
Operator: The next question comes from Daniel Tamayo with Raymond James. Please go ahead.
Daniel Tamayo: Good afternoon, everyone. I just wanted to see if I could get your updated expectations for where that core NIM that sits right at 3% now would have moved going forward?
Michele Kawiecki: Hi, Daniel. We do expect core NIM to be under some modest pressure due to excess liquidity and the growth we've had in our securities portfolio. But we feel good about our loan and deposit pricing. And we also expect net interest income to continue to grow next quarter.
Daniel Tamayo: All right, terrific. And what are your assumptions within that for any deployment of excess liquidity that you have right now? What are those levels if you can give those as well?
Michele Kawiecki: Well, we're expecting the buy yield to stay around 2%. And in terms of the amount that we would expect to invest in the bond portfolio will really just be dependent on what we see in deposit growth. As Mike Stewart said, we are seeing inflows of stimulus money into public entities. So that will probably be the biggest variable.
Daniel Tamayo: Okay. All right. That's great. I appreciate you taking my questions.
Mark Hardwick: Thank you, Daniel.
Operator: The next question comes from Damon DelMonte with KBW. Please go ahead.
Damon DelMonte: Hi. Good afternoon, everyone. Hope everybody's doing well today. So my first question, just wanted to touch on expenses to start off. Michele, I was hoping you can give a little color on your outlook? And I noticed that salaries and employee benefits are up this quarter. Is that a reasonable level to continue at or there's maybe some one-time items this quarter?
Michele Kawiecki: I do think that's a reasonable level. So we're sticking with the expense guidance of 68 million to 70 million each quarter.
Damon DelMonte: Okay. All right, great. And then with respect to the provision outlook and just given the strong underlying credit trends, this is the second quarter in a row where there was no provision. And is it reasonable to assume that we could see that trend continue through the back half of the year?
Michele Kawiecki: We have a bias not to take negative provision. We prefer to allow our coverage ratio to come down with our normal levels of loan growth and normal levels of charge-offs. That being said, we'll have to keep an eye on the unemployment rate and see what our forecast comes out. But that does kind of give you our bias.
Damon DelMonte: Okay. Fair enough. That's all that I had. Thank you very much.
Mark Hardwick: Thank you, Damon.
Operator: The next question comes from Terry McEvoy with Stephens. Please go ahead.
Terry McEvoy: Hi. Good afternoon, everyone.
Mark Hardwick: Hi, Terry.
Terry McEvoy: So the new loan yields coming down in the quarter definitely caught my eye. And I think I forget who mentioned that it was kind of a reflection of a mix shift. As I look at the top of Page 18 where loans were growing, I hope you could just maybe expand on what the mix shift -- how the mix shift impacted the new loan yields last quarter?
John Martin: Yes, the mix. So when you think about the sponsor, that's a traditionally wider spread book of business. The public finance is not a widespread. That's a lower spread business. When you think about the investment in people I’ve been talking about across our markets, that's been inside what I would characterize for us is upper middle market. And when you compete in that space, it's a little bit of a thinner spread, when we're getting into leveraging our recently deployed capital markets capabilities and syndication. So that's how I think how that mix plays out in yield.
Terry McEvoy: Thanks. And then as a follow up, the strong growth in the commercial group, specifically C&I, I was wondering does a specific industry standout, any specific region that was behind that group? Maybe expand if you could on the strong C&I growth? Thank you.
Mark Hardwick: It's pretty balanced. I will say that the investment in those bankers that we've been talking about continuing across all of our markets is paying dividends, right. So we put two new people -- well, three new people in our greater Ohio marketplace. So we're seeing some nice growth coming out there. And then Indiana, Indianapolis in particular continues, where we've added additional two bankers in our  middle market. Michigan market, same way there. New banker up there driving some loan growth. And in our specialty business lines, we've added two asset-based lenders and another sponsor banker. So it’s coming in that segment as well.
Terry McEvoy: Great. I appreciate that. Thank you.
Mark Hardwick: Thank you, Terry.
Operator: . The next question comes from Brian Martin with Janney Montgomery. Please go ahead.
Brian Martin: Hi, guys. Thanks for taking the question. Just one or two from me. Just back to the utilization rates for just a minute, I guess is your -- some of your competitors or just other banks that maybe that's not picking up as much as maybe you guys are seeing a little bit of a pickup here? I guess do you expect that to continue to trend up or does it kind of feel like it's going to be a slow grind up? Just your thoughts on utilization?
John Martin: Yes. Brian, this is John. I would say that it's probably going to be a slow grind up. They've got to burn through the liquidity that they have on their balance sheet in order to begin to fully utilize the lines. But the request for line availability even through the pandemic continued to be -- continued its trend upwards, which would speak to an expectation that they're going to use the lines ultimately. That's kind of how we think about it. So I would say, as economic activity -- their economic activity continues to pick up, I would fully expect to see that trend upward. And while we don't get into the monthly results, they were up in the interim and were down a little bit at the end. So it's bouncing around month-to-month. And from point-to-point March to June, you see that 1% improvement. So, it's hard to say but I would expect a grind upwards.
Brian Martin: Yes. Okay. I appreciate it, John. And then just the last too was just on the forgiveness, just your thoughts on the trend there. I guess do you expect most of that forgiveness to occur? I don't know if you stopped forgiveness of round two this quarter, but just most of that occurs by the end of the year. Is that kind of your thinking today based on the trends?
John Martin: Brian, for -- and to give you a couple of numbers, we're about 86% of the count from the first round or 88% of the dollars. You think about that. And then you think about round two, we've got 13% of the count and 5% of the dollars. So if you think about what happened last year versus kind of the same point, maybe even more so in this year, as compared to the first round, you'll probably start to see that pick up with comparable forgiveness in 2021.
Brian Martin: Got you. Okay. That’s helpful with the numbers. And then maybe just, I don’t know, one for whomever, just on kind of the outlook of capital deployment today. Given the strong earnings this quarter and just kind of the outlook being positive, just kind of wondering how you're thinking about the deployment outside of kind of the organic growth? Maybe just from an M&A perspective, I know it's something you guys have talked about as part of your core strategy. But can you talk about that, that'd be great? Thank you.
Mark Hardwick: Yes, I'll tackle that real quickly. Our strategy is still the same. We think of our capital in thirds . We're kind of at our payout ratio level that we like. When you think about the share repurchase program, what Michele I think we've repurchased this quarter, $9 million and we have $100 million share repurchase plan on the shelf. We didn't have any repurchases through the first six months. So when I say this quarter, the 9 million, all happened just since July 1. And so we've had some success, taking advantage of lower prices. And then the cash and acquisitions is something that we're always interested in. And as we continue to look at our opportunities, we're making sure that cash is a significant part of that transaction. And Mike Stewart’s done a very nice job of utilizing capital as we grow organically. So, I'm not sure anything has really changed and we do have a goal of staying, or keeping our TC at 9, which we're doing a nice job of, and it produces returns on tangible that are 16% or so, and we think that's a strong number that should get the attention of investors.
Brian Martin: Perfect. Okay. Thank you for taking the questions.
Mark Hardwick: Thank you, Brian.
Operator: This includes our question-and-answer session. I would like to turn the conference back over to Mark Hardwick for any closing remarks.
Mark Hardwick: Well, just wanted to say thank you for all of the participation and the investment in First Merchants. And like I said, we feel like we delivered a strong quarter. And it's a great reflection of the momentum that we have. So, again, we're appreciative and excited about the year to come. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.